Unidentified Company Representative: Good morning, and thank you all for joining us. As a reminder, this conference call and the related presentation may include forward-looking statements, which reflect management’s expectation about future events and overall operating plans and performance. These forward-looking statements are made as of today and are not guaranteed. They involve risks, uncertainties and assumptions, and there can be no assurance that actual results will not differ materially from our expectations. For a discussion of these risks and uncertainties, please see the risks described in our most recent Form 10-K and subsequent filings with the SEC. Invesco makes no obligation to update any forward-looking statements. We may also discuss non-GAAP financial measures during today’s call. Reconciliations of these non-GAAP financial measures may be found at the end of our earnings presentation.
Operator: Welcome to Invesco’s First Quarter Results Conference Call. [Operator Instructions] Today’s conference is being recorded. If you have any objections, please disconnect at this time. Now I would like to turn the conference call over to your speakers for today, Marty Flanagan, President and CEO of Invesco; and Allison Dukes, Chief Financial Officer. Mr. Flanagan, you may begin.
Marty Flanagan: Thank you, operator, and thanks everybody for joining us, and we look forward to the conversation. As we begin 2021, we remain cautiously optimistic with the vaccine rollout gaining attraction that we’re emerged from the global pandemic this year. I think this is only confirmed by the increase economic activity we are all seeing, that said, risks do remain. The good news is Invesco is off to a great start this year. And as you can see in the results that were reported this morning, and if you’re so inclined to follow along, I’m going to speak, speaking to the highlight slide, which is Slide 3. Our investment key capabilities and the tremendous focus on our clients’ continue to produce good momentum in our business. We have now achieved nine straight months of net long-term inflows. In the first quarter, net long-term inflows were $24.5 billion. This is a record level of inflows for the firm. This follows net long-term inflows of nearly $18 billion in the second half of last year. And this represents nearly a 9% annualized long-term organic growth rate led by net flows into ETFs continued strength in fixed income and net inflows into the balanced funds. And as you can see on Slide 3, the key areas that were highlighted in January, you have scale, investment readiness and competitive strength growth-to-growth in the quarter. These are areas where investment performances are strong or highly competitive. We’re well positioned for growth. Retail flows significantly improved in the quarter, and we’re $21.2 billion of a $24.5 billion of the net long-term flows or ETFs, excluding the QQQs, generated net long-term inflows of $16.8 billion. This is also a record for the firm, which contributed significantly to the $10 billion of net long-term inflows generated in the Americas. Invesco’s U.S.-ETFs, excluding the QQQs, captured 6.7% of the U.S. industry net ETF inflows. This is more than two times or 3% market share. Within private markets, we launched two-CLOs, which raised $800 million, and we remained focused on our alternative capabilities of space where we also see the benefits of our MassMutual. MassMutual is committed over $1 billion to various strategies, including providing a credit facility, which is one of our private market funds. We had net long-term inflows of $6.5 billion within active fixed income, and within active global equities, are nearly $50 billion developing markets fund is key capability wired in the Oppenheimer transaction, so $1.3 billion of inflows. That said there are still areas of improvements within active equities, where we continue to work and remained focused on those opportunities. Net long-term inflows into Asia-Pac were $16.7 billion in the first quarter; following $17 billion of net inflows in the second half of 2020. The China JV launched nine new funds with $6.2 billion of net long-term inflows. In addition, our solutions enabled institutional pipeline has grown meaningfully and accounts were over 60% of our pipeline at the end of the quarter. Allison will provide more information a few minutes on the flows, the pipeline, the results for the quarter. But I would note, we generated positive operating leverage producing an operating margin of 40.2% for the quarter. Strong cash flows have been generated from our operations, improved our cash position resulting in no draw down on our credit facility at quarter end. Our quarter growth would be experienced seasonally higher demand on our cash flow. The board also approved a 10% increase in a quarterly dividend to $0.17 per share. Given our historical investments in the business and our most recent efforts to better align our organization with our strategy, I’m confident we have the talent, capabilities, the resources and momentum to drive – to deliver for our clients and drive the future growth and success. And with that, I will turn it over to Allison to walk through the results in greater detail.
Allison Dukes: Thank you, Marty, and good morning, everyone. Moving to Slide 4, our investment performance improved in the first quarter, with 70% and 76% of actively managed funds in the top half of peers on a 5-year and a 10-year basis, respectively. This reflected continued strengths in fixed income, global equities, including emerging markets equities and Asian equities, all areas where we continue to see demand from clients globally. I’ll also note that our published investment performance now reflects Morningstar peer rankings for composites, where U.S. domiciled mutual fund is the most representative AUM in the composite, whereas previously, we had relied on Lipper data. This transition more closely aligned our data to the investment performance data reviewed by our U.S. clients and is more consistent with how our peers reflect investment performance. Additionally, we’ve expanded the population of AUM included in performance disclosures by about $150 billion for each period presented through the addition of benchmark relative performance data for institutional AUM, where peer rankings do not exist. This approach is used by certain of our peers and we believe it more meaningfully represents the contribution of our institutional AUM to our performance metrics. Moving to Slide 5, you’ll notice we reorganized our ending AUM and net long-term flow slides to group the ending AUM, and net long-term flows together for each cut of our data, by total investment approach, channel, geography, and asset class. We believe this will better illustrate our flows and the context of our overall AUM for each category. We ended the quarter with just over $1.4 trillion in AUM. Of the $54 billion in AUM growth, approximately $25 billion is a function of increased market values. Our diversified platform generated net long-term inflows in the first quarter of $24.5 billion, representing 8.8% annualized organic growth. Active AUM of net long-term inflows were $7.5 billion or a 3.4% annualized organic growth rate, and passive AUM of net long-term inflows were $17 billion or a 31.3% annualized organic growth rate. The retail channel generated net long-term inflows of $21.2 billion in the quarter, an improvement from roughly flat performance in the fourth quarter, driven by the positive ETF flows. Institutional channel generated net long-term inflows of $3.3 billion in the quarter. Regarding retail net inflows, our ETF, excluding the QQQs, generated net long-term inflows of $16.8 billion including meaningful net inflows into our higher fee ETF. Net ETF inflows in the U.S., were a focus on equities in the first quarter, including a high level of interest in our S&P 500 equal weight ETF, which had $4 billion in net inflows in the quarter. In addition to the S&P 500 equal weight ETF, we had five other ETFs that reported net inflows of over $1 billion each. These six ETFs represented $10 billion in net inflows for the quarter. It’s also worth noting that our Invesco NASDAQ next-gen 100 ETFs, the QQQJ surpass the $1 billion AUM mark in the quarter following its inception in October of 2020. This is on the heels of our successful QQQ marketing campaign and sponsorship of the NCAA championship in the first quarter. Looking inflows by geography on Slide 6, you’ll note that the Americans had net long-term inflows of $10 billion in the quarter, an improvement of $7.8 billion from the fourth quarter. The improvement was driven by net inflows in ETFs, institutional net inflows, various fixed income strategies and importantly, focused sales efforts. Asia Pacific delivered one of its strongest quarters ever with net long-term inflows of $16.7 billion. Net inflows were diversified across the region. $9.4 billion of these net inflows were from greater China, including $8.5 billion in our China JV. The balances of the flows in Asia Pacific were comprised of $3 billion from Japan, $1.9 billion from Singapore and the remaining $2.3 billion was generated from several other countries in the region. Net long-term inflows for EMEA, excluding the UK, were $3.7 billion driven by retail flows, including particularly strong net inflows of $1.2 billion into our global consumer trends fund, the growth equities capability, which saw demand from across the EMEA region. ETF net inflows in EMEA were $1.6 billion in the quarter, including interest in a wide variety of U.S. and EMEA-based ETFs. Notably, we saw net inflows of $0.5 billion into our blockchain ETF and $400 million into one of our newly launched ESG ETFs in the quarter. The Invesco MSCI USA ESG Universal Screened ETF. And finally, the UK experienced net long-term outflows of $5.9 billion in the quarter driven by net outflows in multi-asset institutional quantitative equities and UK equities. Turning to flows across asset class, equity net long-term inflows of $9.8 billion saw similar capabilities I’ve mentioned, including the developing markets fund, the global consumer trends fund and ETF, including our S&P 500 equal weight ETF. We continue to see strength in fixed income across all channels and markets in the first quarter with net long-term inflows of $7.6 billion. This following net inflows of $8.2 billion in fixed income in the fourth quarter. It’s worth noting that the net inflows and the balanced asset class is $7.3 billion arose largely from China and alternative net long-term inflows improved by $4.1 billion due to a combination of inflows in senior loans, commodities and newly launched CLOs during the quarter. Moving to Slide 7. Our institutional pipeline grew to $45.5 billion at March 31 from $30.5 billion at year end. The growth of the pipeline this quarter includes a large lower fee passive indexing mandate in Asia Pacific assisted by our custom solutions advisory team. This is an opportunity for us to offer a solutions-based differentiated passive investment to meet the needs of a key strategic client with the potential to expand the relationship over time with access to higher fee opportunities. We are also able to leverage our in-house indexing capabilities with this mandate. Excluding this large mandate in Asia Pacific, the pipeline remains relatively consistent to prior quarter levels in terms of size, asset mix and fee composition. While there’s always some uncertainty with large client funding, we’re currently estimating that between 50% and 65% of the pipeline will fund in the second quarter, including the large indexing mandate. The funding of this mandate will also have a slight downward impact on our net revenue yields next quarter. Overall, the pipeline is diversified across asset classes and geographies, and our solutions capability enabled 61% of the global institutional pipeline and created wins and customized mandate. This has contributed to meaningful growth across our institutional network warranting our continuing investment and focus on this key capability. Turning to Slide 8. You’ll notice that our net revenues increased $23 million or 1.8% from the fourth quarter as higher average AUM in the first quarter was partially offset by $71 million decrease in performance fees from the prior quarter. The net revenue yield excluding performance fees was 35.7 basis points, a decrease of three tenths of a basis point from the fourth quarter yield level. This decrease was driven by lower day count in the first quarter that negatively impacted the yield by eight tenths of a basis point and higher discretionary money market fee waivers that negatively impacted the yield by three tenths of a basis point. These negative impacts were partially offset by the positive impact of rising markets and net long-term inflows during the quarter. Going forward, we do expect money market fee waivers to remain in place for the foreseeable future until rates begin to recover to more normalized levels. Total adjusted operating expenses increased 0.7% in the first quarter. The $5 million increase in operating expenses was driven by higher variable compensation as a result of higher revenue, as well as the seasonal increase in payroll taxes and certain benefits offset by the reduction in compensation related to performance fees recognized last quarter and savings that we realized in the quarter resulting from our strategic evaluation. Operating expenses remained at lower than historic activity levels due to pandemic impact the discretionary spending, travel and other business operations that have persisted in the quarter. Moving to Slide 9. We update you on the progress we’ve made with our strategic evaluation. As we’ve noted previously, we’re looking across four key areas of our expense base. Our organizational model, our real estate footprint, management of third-party spend and technology and operations efficiency. Through this evaluation, we will invest in key areas of growth, including ETFs, fixed income, China, solutions, alternatives and global equities, while creating permanent net improvements of $200 million in our normalized operating expense base. A large element of the savings will be generated from compensation, which includes realigning our non-client facing workforce to support key areas of growth and repositioning to lower cost locations. The remainder of the savings will come through property office and technology and G&A expenses. In the first quarter we realized $16 million in cost savings, $15 million of the savings was related to compensation expense. The remaining $1 million in savings was related to facilities, which has shown in the property office and technology category. $16 million in cost savings or $65 million annualized combined with the $30 million in annualized savings realized in 2020 brings us to $95 million or 48% of our $200 million net savings expectation. As it relates to timing, we still expect approximately $150 million or 75% of the run rate savings to be achieved by the end of this year, with the remainder realized by the end of 2022. Of the $150 million in net savings by the end of this year, we anticipate, we will realize roughly 65% of the savings through compensation expense, the remaining 35% would be spread across the occupancy, tech spend and G&A. The breakdown for the remaining $50 million and net cost save in 2022 will be similar. With $95 million of the expected $150 million in net savings by the end of this year already in the quarterly run rate, the degree of net savings per quarter will moderate going forward. In the first quarter we incurred $30 million of restructuring costs. In total, we’ve recognized nearly $150 million of our estimated $250 million to $275 million in restructuring costs that were associated with this program. We expect the remaining transaction costs for the realization of this program to be in the range of a $100 million to $125 million over the next two years with roughly one half of this amount occurring in the remainder of 2021. As a reminder, the costs associated with the strategic evaluation are not reflected in our non-GAAP results. Our expectations of our first second quarter operating expenses to be relatively flat to the first quarter, assuming no change in markets and FX levels from March 31. We entered the second quarter with $1.4 trillion in AUM driven by net inflows and market tailwinds from the first quarter. These tailwinds will have a modest impact on both revenues and associated variable expenses. The impact on expenses will be offset by lower compensation expense related to seasonality and payroll taxes and benefits, plus incremental savings related to the strategic evaluation. We also expect a modest increase in marketing related expenses as the first quarter is typically the low point in marketing spend annually. One area that is still more difficult to forecast at this point is when COVID impacted travel and entertainment expense levels will begin to normalize. The rollout of vaccines, we believe we might begin to see a modest resumption of travel activity later in the second quarter, and perhaps more in the third quarter. Moving to Slide 10. Adjusted operating income improved $18 million to $503 million for the quarter driven by the factors we just reviewed. Adjusted operating margin improved 70 basis points to 40.2% as compared to the fourth quarter. Most importantly, our degree of positive operating leverage reflected in our non-GAAP results is 2x for the quarter, underscoring our focus on driving scale and profitability across our diversified platform. Non-operating income included $25.9 million in net gains for the quarter compared to $31.9 million in net gain last quarter as higher equity and earnings, primarily from increased yellow marks were more than offset by lower market gains on our seed portfolio as compared to the prior quarter. The effective tax rate for the first quarter was 24% compared to 21.7% in the fourth quarter. The effective tax rate on net income was higher in the first quarter, primarily due to an increase in income generated and higher taxing jurisdictions relative to total income. We estimate our non-GAAP effective tax rate to be between 23% and 24% for the second quarter. The actual effective tax rate may vary from this estimate due to the impact of non-recurring items on pre-tax income and discreet tax items. Turning to Slide 11. Our balance sheet cash position was $1.158 billion at March 31 and approximately $760 million of this cash is held for regulatory requirements. Cash balances are impacted by the typical seasonal increases in cash needs in the first quarter related to our compensation cycle. We also paid $117 million on a forward share repurchase liability in January. In addition to using excess cash to reduce leverage, we seek to improve liquidity and our financial flexibility. Despite the increased cash needs in the quarter, the revolver balance was zero at the end of March, consistent with our commitment to improve our leverage profile. Additionally, the remaining forward share repurchases liability of $177 million was settled in early April. We also renegotiated our $1.5 billion credit facility extending the maturity date to April of 2026 with favorable terms. We believe we’re making solid progress in our efforts to build financial flexibility and as such our Board approved a 10% increase in our quarterly common dividend to $0.17 per share. The share buybacks dating back to last year on Slide 11, which reflects $45 million in the first quarter of this year are related to vesting of employee share awards. We remain committed to a sustainable dividend and to returning capital to shareholders longer term through a combination of modestly increasing dividends and share repurchases. In summary, Marty highlighted the growth we’ve seen in our key capabilities and our continued focus on executing the strategy that aligns with these areas. We’re also executing on our strategic evaluation and reallocating our resources to position us for growth. And finally, we remain prudent in our approach to capital management. Our focus on driving greater efficiency and effectiveness into our platform, combined with the work we’ve done to build a global business with a comprehensive range of capabilities, puts Invesco in a very strong position to meet client needs, run a disciplined business and to continue to invest in and grow our franchise over the long-term. With that, I’ll open it up to the line for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Dan Fannon with Jefferies. You may go ahead.
Dan Fannon: Thanks. Good morning. Can you discuss the strengths and needs a bit more broadly? I know you gave a lot of detail around where the flows will come – came from it and balanced as well, being a source of the asset flows. But curious about seasonality in that part of the world versus maybe what we see in the U.S., one which is typically the strongest and then kind of the outlook for that region, given the strength that you just generated in the first quarter?
Marty Flanagan: Dan was it Asia? I’m sorry. Yes. Let me have a couple of comments now and Allison can speak to it also. So look, there’s this little question I think we’ve all talked about the strength of Asia, China in particular. China’s real, China’s real for us is very meaningful. You’ve seen the recent growth over the last couple of years. And I’d say the first quarter is really, really strong. There’s no question, but the reality, you’ve followed the market that had a pullback. You have to anticipate that’s kind of slowed down a little bit here. That said, it doesn’t – when you look at the full year, it’s going to continue to be an important contributor and we’re just looking for further growth in the years to come. So that’s our perspective at the moment.
Allison Dukes: Yes. The only thing I’d add, obviously sentiments maybe shifted just a little bit there in the recent months, very strong sentiment fourth quarter, very strong sentiment in the first couple of months of the first quarter, we’ve definitely seen a little bit of a softening there and we’ll pull back in March and into April. So it’s going to be a place to watch. I will say that broadly speaking for Asia Pacific, we are starting to see flows really start to come in a balanced profile across the region, China being very significant as Marty said. In total little north of $9.5 billion of those flows came from IGW and Greater China. But as I mentioned, saw $3 billion inflows from Japan and $2 billion from Singapore, $2.3 billion from some of the other regions. And of course, as we noted in the pipeline, we’re seeing very strong mandates coming in broadly from Asia Pacific. So, I think it’s – I don’t know that it seasonality so much as maybe a sentiment that we’ve got to keep an eye on there. I would note in the nine funds that we launched in the first quarter in IGW, they generated $6 billion inflows in that first quarter. Most of those were balanced equity funds. And the fee rates there are very strong. They are better than the firm average and a real meaningful contributors to our growth.
Dan Fannon: Thanks. That’s helpful. And then just to follow-up just on the strategic evaluation that you are having progress in several quarters. Just thinking about the $200 million in aggregate, is that number, would you consider to be conservative at this point? Anything about that with that deep reinvested back in the business, or is there a potential for some upside to those savings?
Allison Dukes: I’d say, you definitely see us making good progress with $95 million of the $200 million. We feel like achieved at this point. The $200 million remains our net target. We are very focused and reinvesting savings and continuing to reallocate those savings into areas of growth. So at this point, I don’t think we’re – we would be suggesting that the $200 million is conservative. We are going to be consistently looking at how do we continue to transform our business and make sure that we are spending in the areas where we can generate the most growth and really looking at allocating our expenses and reallocating our expenses with that mindset.
Dan Fannon: Great. Thank you.
Operator: Thank you. The next question is from Patrick Davitt with Autonomous Research. You may go ahead.
Patrick Davitt: Good morning, everyone. Just give us a little more color on the kind of somewhat outsize redemption rate on the institutional side, anything idiosyncratic or a common theme you could point to in that acceleration? And in that vein, any known lumpy redemption as an offset to the very strong unfunded pipeline you’ve highlighted.
Marty Flanagan: Yes. I wouldn’t call it any one specific thing in the institutional redemptions, but it’s similar to when money comes in, it just really is hard to predict quarter-to-quarter. So I wouldn’t point to an elevated level of redemptions going forward. Again, we’ll just continue to follow client’s desires on the timing of redeeming or giving us money.
Allison Dukes: Yes. I would agree. I mean, it’s lumpy, there’s nothing specific happening there. The gross funding out of the institutional pipeline was about $21.5 billion. And again, you’re seeing the pipeline even excluding this significant mandate, really maintain its size. And we’re seeing a lot of the fundings come not just from the pipeline, but existing client augmentation activity outside the pipeline. I think it’s important to remember that the pipeline is not the only source of our institutional flow. It’s certainly a strong indication. But as we continue to grow these relationships and really deepen the relationship, they become much more strategic, which generates additional flows but nothing specific to point to there.
Operator: Thank you. The next question is from Craig Siegenthaler with Credit Suisse. You may go ahead.
Craig Siegenthaler: Thanks. Good morning, everyone. I wanted to follow-up on Dan’s question on Asia and I heard your commentary on flows by geography. That was very helpful. But could you also help us walk through what the product mix would have looked like inside the $17 billion of flows and any color in terms of channel mix retail versus institutional?
Marty Flanagan: So I can hit some of the high levels and Allison can add to it. So, within China, it’s heavy equities. Allison called it balanced in particular that has been historical driver. Japan continued to be fixed income during the quarter. And – excuse me, the big flows were really coming from retail, although the Japan that was institutional.
Allison Dukes: And in terms of asset class mix, I’d tell you the half of it is coming from balanced and the remainder coming across equity and fixed income capabilities. But our balance products they’re really driving a significant amount of the flows. In terms of the retail and institutional mix, it was about $13 billion on the retail side, out of the total $16.6 billion.
Craig Siegenthaler: Great. No, super helpful there. And then just as my follow-up, I wanted your perspective on the May 24 lockup expiration for MassMutual. I’m wondering, is there any thought on extending that into the future? And if it isn’t, could we expect some stock sales for MassMutual later this year?
Marty Flanagan: Yes. So look let me to start by here. The relationship continues to be very, very strong. And yes, we continue to do more and more together, as I mentioned, just – particular around alternatives for us. There’s going to – obviously not just with equity, but also with the preferred. And I can’t speak for them, but what I can tell you is they’ve told us that they are very happy with the relationship. They’re very happy with the investment and we just anticipate that would continue.
Craig Siegenthaler: Thank you.
Operator: Thank you. The next question is from Ken Worthington with JPMorgan. You may go ahead.
Ken Worthington: Good morning. So capital gains and dividend tax rates seem poised to rise materially for the wealthy. What do you think are the implications for wealthy investors in terms of their investments? Do you think this drives any meaningful reallocation as these new taxes go through? And are there opportunities for Invesco in product development to help these wealthy investors adapt to a much higher U.S. tax rate and probably higher taxes globally?
Marty Flanagan: Ken, great question. If I knew the answer, I wouldn’t have the shot probably. But the reality is like everywhere. We’re very, very focused on it. And I’d say where the firm’s gotten to right now, even with the individual investors as you’re talking about the way that we have moved our businesses, quite frankly, focus on a lot of high net worth individuals within the wealth management channels and really supported by the solutions capability that we’ve developed over the last number of years. In fact, that’s where it started. And so if – tax managed was a focus before, sure they’re going to be continued to be a focus now. The good news is, things like municipal bonds are going to continue to be very, very important. We have very strong franchise there. But needless to say, people are going to want access to equity for growth and continue to see what we can work on. But I don’t have anything very specifically on that.
Ken Worthington: Okay. Thank you. And then for follow-up. Dividends and capital management, so you paid off or paid down a number of obligations through April 1, balance sheet is in much better shape than it was a year ago. So how do we think about the balance of capital return in further strengthening of the balance sheet as we look through to the rest of the year? And how are you thinking about a payout ratio for 2021?
Allison Dukes: Sure. Thanks, Ken. Yes, so I’d say our capital priorities are consistent with what you’ve heard us say repeatedly for the last several quarters. And I’m very pleased to say we’re making good progress against those, and you can really see the evidence of that progress in some of what we’ve announced today. We remain committed to financial flexibility, which gives us the opportunity to really reinvest in the business and support our future growth. And that is our priority. First and foremost is creating that financial flexibility to reinvest in the business and growth capabilities there. We also want to improve the strength of our balance sheet and continue to return excess cash to shareholders. So please, we were able to announce the increase the common dividend today. We are committed to stable and modestly increasing dividends. In terms of a payout ratio, we’re being thoughtful about how we continue to improve the payout ratio. The decision we made a year ago to cut the dividend was not one that was made lightly as you know, it was not an easy decision. But absolutely I think we would reflect and say it was a good decision because it’s given us the opportunity to continue to improve that financial flexibility through the more uncertain times last year. As we have made progress so far in some of those liabilities with the forward share repurchase liabilities both now completely paid out and are leverage well-managed. It does give us the opportunity to continue to think about modestly increasing that dividend. We felt like 10% was the right level for where we are today and the earnings profile we have today, but we think we have an opportunity to continue to improve that over time. We just want to be thoughtful and measured in our pace there.
Ken Worthington: Great. Thank you very much.
Operator: Thank you. The next question is from Brian Bedell with Deutsche bank. You may go ahead.
Brian Bedell: All right. Good morning, folks. Maybe Allison, just to stay with you on the top of expenses. If you can talk a little bit about the outsourcing deal with State Street. I know that’s a longer-term endeavor, and I believe that’s over and above the $200 million, it’s really to frame the potential net savings from that. But maybe just to characterize the timing of that and whether the vast majority of the assets of Invesco that are serviceable by State Street are moving to that platform. And whether that in a normal market environment whether you feel that you have confidence that you can save up to 40% operating margin level.
Ken Worthington: Sure. Thank you for the question, Brian. Yes. I mean, as you know, this is definitely a longer-term installation. You did see the announcement via State Street a couple of weeks ago. The installation is going to have benefits. There’ll be realized in a time horizon that really extends beyond our existing cost transformation program. So as you know, that really runs through 2022. And as we think about the benefits that we can generate from Alpha, those are going to be things that actually won’t be realized until 2023, 2024 and beyond. And so it’s too early at this point for us to put any contours around what we think it could generate for us. We do expect to be able to do that at a later date. I would say broadly speaking, we absolutely expect there to be operational efficiencies and risk mitigation elimination of redundancies. I mean, all of these things are going to create real benefits as we scale over the coming years. But too early, just yet to point to what that could look like. Anything you want to add, Marty to it?
Marty Flanagan: Look I think it’s going to be – it’s a very important undertaking for us. And front and back investment – all of our investment platform on it is going to be very beneficial to the firm.
Brian Bedell: Okay. That’s good color. And then Marty, just on ESG, obviously the topic you talked about quite a bit. I guess, first question is, are you able to size the ESG flows to the franchise in the quarter and the level of what you considered ESG AUM? And then secondly, maybe if you can just talk more broadly about what you’re seeing in demand for those products and any update on the integration of ESG throughout the investment process?
Marty Flanagan: Yes. So let me make a couple of comments and Allison can talk to it. So right now, 75% of all our investment capabilities have ESG inclusion. Obviously our intent is to be 100%. Right now that’s up to 2023 our goal is to pull it in closer. If you look very specifically at ESG specific mandates, assets under management that’s about $40 billion. And so to be clear, that’s excluding, that’s not counting ESG inclusion. I mean, that’s really the way of the world. This is really dedicated ESG product offerings, where there has to be some ESG consideration within it. And the flows have been quite strong. It’s really some of the historical things that within our ETF lineup. That said, what we are seeing institutional clients in particular, working with our solutions group is really creating outcomes to meet their ESG goals. And we’re also leveraging indexing capabilities with a number of these institutions to meet their ESG goals. So it really no different to us, it is quite pervasive. I’d say that the strongest area right now is, UK, Europe, the U.S. is following and quite frankly, in Asia, it’s also very, very strong. So needless to say, if you don’t have the revolver – the capabilities to be on your front foot ESG you’re going to be at quite the disadvantage.
Allison Dukes: Yes. I’d say, the flows that would be specifically attributed to our ESG capabilities in the quarter were around $4 billion. I’d say, notably we are the second largest ESG ETF provider in the United States. We have nine ETFs right now that are dedicated ESG ETFs in the United States where we have about $9.5 billion in AUM there that $4 billion is a global number inflows over the first quarter. So we are absolutely seeing real strength. It just underscoring the importance we all understand around ESG capabilities.
Marty Flanagan: The other area where the bulk of it is, it’s been direct real estate where you could imagine the work with clients and the other is really through our quantitative team is the other area where you have the balance of dedicated ESG capabilities.
Brian Bedell: Great color. Thank you so much.
Operator: Thank you. The next question is from Robert Lee with KVW. You may go ahead.
Robert Lee: Great. Thanks and good morning, everyone. Thanks for taking my questions. Maybe Marty you talked about this calls in a while, but you think back over the years [indiscernible] you made some technology investments, which I believe you put under the banner of Intelliflo in UK. So maybe update us on that on strategically and where that is fits in the organization, and maybe how you start to leverage that through relationships or flows [indiscernible]
Marty Flanagan: Yes. Good. So as you point out, we’ve had a number of smaller bolt-ons around that technology and it has all been pulled together over the past year that was the effort last year. It’s now the banner is Intelliflo where the success has really been more immediately is through something called Vision, which is a technology that is an analytical tool that we work through our solutions team with our institutional clients. The next area where we are looking to expand outside of the UK is the direct to the financial advisor channel. That again is where we’re turning our attention, beginning this year to expand that. So we did take a year to pull the rest of the platform together, and it will frankly be focused on the RIA channel in particular.
Robert Lee: I mean, is it possible to attach any type of demand and…
Marty Flanagan: Yes. So right now, there’s about $900 billion of AUA within that platform. And the core capability continues to grow. And again, the historical focus on financial advisors has not changed and we think that’s, again, going to be the future is for that platform.
Robert Lee: Okay, great. And that was my question. Thanks for taking it.
Operator: Thank you. The next question is from Brennan Hawken with UBS. You may go ahead.
Adam Beatty: Thank you, and good morning, this is Adam Beatty in for Brennan. I want to follow-up on the fee rate, which has trended fairly well recently. How would you characterize the exit rate, if you will, from the quarter versus the blended average through the quarter, whether it’s kind of trending upward, trending down or what? And also in terms of the pipeline extra large low fee mandate, is the fee rate on that pipeline higher or lower than the current plan for the firm? Thank you.
Allison Dukes: Yes. Thanks, Adam. Hard to decompose the trending of the fee rate, exactly, just given the puts and takes of how the calculation is done throughout the quarter, but I would tell you just generally speaking, it probably – the puts and takes, I would say, we’re actually probably made the trending relatively stable. So if you think about what the fee rates sort of the change in the first quarter fee rate net revenue yield ex performance fees relative to the fourth quarter lower day count in the quarter, as I mentioned, impacted net revenue yield by 8/10 of a basis point. So that was meaningful. And then money market fee waivers were pretty consistent through the quarter. And that would have been about 3/10 of a downward impact overall in the quarter. Now I would say, baked into that was what we were experiencing in money market fee waivers in prior quarters. So it’s probably about a 6/10 of a basis point impact overall in terms of the fee waivers in the quarter, it was just 3/10 higher than the prior quarter. Those were largely offset, however, by the positive impact of rising markets and net long-term flows. So that’s why I say, I’m not sure the entry rate and the exit rate were that dissimilar given the nature of the puts and takes inside of the quarter. And so I think, as you think about it going forward and getting to, I think probably where you’re going with the pipeline as well, there were going to be a couple of things that, we think about as we think about the fee rate moving into the next quarter. One day count is less of a drag going into the second quarter. It’s a very modest, and I’ll say, very modest, help with just an additional day. As I mentioned, I think money market fee waivers, I think that impact will be consistent through the quarter. And so I think that’s going to be a bit of a neutral, but negative impact on an absolute basis. And then it looking at the pipeline and the pipeline being very significant, obviously, an absolute side, if I exclude this large, significant Asia Pacific index mandate, the remaining pipeline actually looks pretty consistent with prior quarters, both in terms of absolute size and the fee composition. And as we’ve noted in the past, the average fee rate on the institutional pipeline is below the firm average not significantly below, but I’d say modestly below the firm average, and it’s been – it’s held quite steady for the last three or four quarters. And so I don’t expect that to be a different impact. But this very significant sizable win, which we’ll fund sometime in the second quarter, will be a modest drag on net revenue yield in the second quarter, more so going into the third quarter when it is fully realized on the run rate.
Adam Beatty: Excellent. Makes sense. Thank you for the detail. Turning to alternatives and the flow outlook there, there’s a few different cross currency had the COO issuance. Last quarter, you pointed to some kind of routine dispositions in real estate. But the pipeline looks pretty solid. So just wanted to get your thoughts on how that looks going forward. Thank you.
Allison Dukes: I’m sorry. I missed the very beginning of the...
Marty Flanagan: Alternatives.
Allison Dukes: Oh, on alternatives on the pipeline?
Marty Flanagan: Yes. So it continues to be – real estate can just be very, very strong. Bank loans have come back after they have being challenged last year for sure. And GTR is really, has been the headwind within alternatives. Otherwise, it’s been continuing to build out that pipeline quite strongly.
Allison Dukes: Yes. I don’t think we’ve pointed to anything notable or sizeable in terms of the pipeline or any real differences as it relates to alternatives.
Adam Beatty: Great. Thank you, Allison. I appreciate it.
Operator: Thank you. Our next question is from Mike Carrier with Bank of America. You may go ahead.
Mike Carrier: Good morning. Thanks for taking the question. Just giving the expectation for rising rates in potential inflation, I just wanted to get your sense on how the fixed income and balanced platforms are positioned for that backdrop, both in terms of intensive performance impacts and inclined demand?
Marty Flanagan: Yes, look, it’s a great question. I think rising rates here probably helps our fixed income outside of the United States. Obviously, from institutional investors from that perspective, I think it’s really going to be the pace and the magnitude of the rise of interest rates. If it’s slow and steady, I think it’ll be fine. Some of the areas that will be, in midyear, things like bank loans and the like things got reset. So right now, if really not had a headwind emerge from the rising rates, but needless to say, we’re paying close attention to it to the recent increase. Allison, if you want?
Allison Dukes: That’s a solid point. Do you got it?
Mike Carrier: All right, great. And then just put ball, how many institutional pipelines, I’m trying to get a sense of what change as you drive like a robust pipeline whether this quarter, last quarter over the last year, you had been investment and distribution like geographies, strategies, pricing, since you get this such a big shift relative to the past?
Marty Flanagan: Yes, look, the reality is, it’s sort of overnight success after multiple years of investments. And it really is a combination of the capabilities that we’ve had. We just – how we’re mashing off against clients around the world. And really the solutions capability, it was really, really important, but you need solutions, you need self-indexing, you need a range of capabilities and you have to have deep relationships with the institutional clients and that’s all coming through. The other thing I want to maybe connect the dots. So we started talking about some of the large institutional passive mandates that have come, and that’s very consistent with what we’ve been talking about strategically, where every client that we deal with around the world, again, not unique to us, they’re dealing with fewer money managers, they want more from us. And so that also includes a range of asset classes to create the outcomes. So historically, we did not take our indexing capability to institutional clients. Needless to say, we’ve changed that recently, and it just creates a deeper, better relationship with the clients. The reality is large institutions around the world are going to use passive capabilities, and we want to be able to provide that along with the rest of the range of capabilities we have all the way from alternatives and the combination of all those things is really what’s driving the change.
Mike Carrier: Great. Thanks a lot.
Operator: Thank you. The next question is from Bill Katz with Citigroup. You may go ahead.
Bill Katz: Okay. Thank you very much for taking my questions this morning. Maybe Marty, one for you, haven’t talked about M&A a little while. Just sort of, what’s your latest thinking on when you look at your footprint what if anything, would make sense that you don’t have and how are you thinking about maybe more aggressively leveraging the platform as you build more efficiencies?
Marty Flanagan: Yes, you’re right, we haven’t talked about since last quarter. So I’m kidding. Look, our cost has not changed, right. I think, it was really important for us to obviously complete what we did with Oppenheimer last year, obviously the pandemic didn’t help getting off on to a great start after that. But if we look at the capabilities of the firm right now we feel like we have most everything we need and the things we’d probably pay attention to would be areas where there could sort of people found capabilities largely probably in areas that we want to continue to expand that could be around credit. It could be around infrastructure [Audio Gap]. Is that helped, Bill?
Bill Katz: Yes, that’s helpful. And then maybe just my second question leads into that. Just wondering if you could maybe expand your comments a little bit on what you’re doing to deepen your opportunity set in the private markets?
Marty Flanagan: Yes. So that’s where it was going. So look, we’ve been extending the real estate capability into infrastructure, but it’s very early days for us, right? So it’s an area that’s very competitive and it’s one that we want to be competitive in, half of the bank loan capabilities have continue to build out private credit, direct lending capabilities. Private credit has gone quite well the distress capability in particular, and also the team and direct lending has been building a nice track record is one to get to scale though. So that’s the areas that we’ve been focused on.
Operator: Thank you. The next question is from Mike Cyprys with Morgan Stanley. You may go ahead.
Mike Cyprys: Good morning. Thanks for taking the question here. Just maybe turning back to your investment span, I think you had mentioned on the expense safe that’s net of investment spend in the business. So just hoping you could maybe help quantify, maybe how much you’re investing back in the business, or how you think about that in terms of points on the margin and how would you characterize that piece of investment spend today versus what you had been doing say two to three years ago, and how different might that pace be as you look out over the next two to three years?
Allison Dukes: Let me start with – we’re not quantifying what’s been reinvested. So what we’ve put forth is the $200 million net target, and that’s really what we’re tracking to. And as we think about the reinvestment, it really is, one, it can be rather difficult to trace and track the – where it’s reinvested that absolute level, because we were always investing in the business. But what we’re looking to do is really make some changes that are discreet line items of costs that we can take out and again, create more than $200 million. So that we do have some gross savings to be able to reinvest back into the business. And the way we’re thinking about it is really about driving, operating margin. I can let Marty comment on the path and some of how the thinking may differ prior to my time at Invesco, but I would tell you, our focus now really is on delivering that profitable growth. And so, as we think about reallocating, really thinking about how do we reallocate some of those savings into areas where we think, we get the fastest growth and really drive that margin enhancement. And I think you see some of that margin enhancement and what we’ve been able to deliver over the last two or three quarters. And I don’t know that we can deliver that margin enhancement at that magnitude quarter-after-quarter into perpetuity. But again, it gives us the opportunity just to really leverage the scale that we think we are starting to create across the real diversified platform and making sure that our investments are in those key capabilities that really drop profitability to the bottom line.
Marty Flanagan: Yes, Mike. So look up, it would be quite simple. So if you – there is – on the highlight slide, we talk about the focus on investment solutions, China, active equity, active fixed income, private markets, factors, indexes. Those have been the areas where we’ve been just laser focused and they have been net beneficiaries of that. Also underneath, it really everything digital, as you would imagine. So all of our digital capabilities as we face off against client that is just clients has just changed quite dramatically for everybody last year, just advanced it quite dramatically. And I think also what you’re seeing really in the platform to make it much more efficient and effective. And Alpha, Next Gen is an example of that. And it’s beyond just more efficient, more effective, it’s really moving everything to the cloud and also creating a data capability that really enhances our ability to get to all of the information we need to make better decisions. And so it really is quite focused. And I think it’s showing up in the results.
Mike Cyprys: Great. Thanks. Just a quick follow-up with the improving performance trends that we’re seeing, maybe you could just remind us on how much AUM is eligible to earn a performance fees, which strategies would you say the largest contributors there? I remember, I think in the past, maybe it was real estate and just given your improving performance trend, how are you thinking about performance fee revenues for this year compared to what we’ve seen in prior years?
Allison Dukes: Sure. I’ll take that. Our AUM that’s eligible to earn a performance fee is around $58 billion. And we tend to see in terms of what comprises that AUM, it is largely real estate a number of contracts that would relate back to China, Asia Pacific, broadly speaking, but specifically China. And so as I think about it going forward, it is just inherently difficult to predict the level of performance fees. Given it varies by contract and by client relationships. So I really can’t give you a lot of guidance there. I would point to the fact that fourth quarter performance fees were north of $70 billion, as you know, as I look at performance fees this quarter, pretty consistent to what we saw in the second and third quarter of last year. I wouldn’t necessarily suggest that that is what you should expect every quarter, because it is so difficult to predict. But I do think looking at some of those historical trends is at least factual and somewhat helpful.
Mike Cyprys: Great. Thank you.
Operator: Thank you. The next question is from Chris Harris with Wells Fargo. You may go ahead.
Chris Harris: Great. Thank you. So a record quarter for flows. Flows improved in a lot of different areas. And I guess the one, one area that was a bit of a headwind with the UK. I wonder if you can talk a little bit about, what drove the weakness in the UK this quarter and how you feeling about the outlook?
Marty Flanagan: Yes. So look UK equities continues to be a headwind, it’s been a period of – one just the asset class, which were historically a larger manager within the asset class and historical performance. The performance is still the headwind that said we’ve made the changes to the portfolio managers. I feel really good about the teams there. It’s still early days for them, but that is, I believe, the main focal point there.
Chris Harris: Okay, got you. And one quick follow-up for Allison, other revenue was up quite a bit in the quarter, what drove that and how should we be thinking about the run rate for that line item?
Allison Dukes: Yes. It was up quite a bit. It’s largely due to higher UIT and front end transaction fees. It is almost all of other revenue is transaction-based as opposed to AUM or volume based. And so it can be, I would say, as you think about a run rate, a little bit more difficult to predict, I’m just double checking that. Yes. I mean, I think we had an unusually large quarter and there were some specific items in there as it relates to some of the UIT and front end transaction fees. I don’t know that you should expect that same level of revenue quarter-to-quarter.
Chris Harris: Got you. Thank you.
Operator: Thank you. And our last question comes from Glenn Schorr with Evercore. You may go ahead.
Glenn Schorr: Thanks so much. I just want to ask an industry level follow-up on the M&A backdrop. And Marty, you guys obviously have done much, much better. The industry flows have been better. Margins have been done better. The markets are up and valuations have recovered some. I’m curious if at all, if that changes the industry narrative and consolidation theme takes any of the pressures for that need for scale, or if you’ve seen a continuation of what we’ve seen so far in terms of bigger is better.
Marty Flanagan: Yes. Look, I don’t think it does. It provides relief for the sector, if you would say, all – rising tide raises all boats. But the reality of – where the industry does not changed. I mean, with all the characteristics of a maturing industry where again, fundamentally, I mentioned them a couple of minutes ago. Every client is expecting more from money managers. They are working with fewer money managers around the world and you really need scale in multiple levels across the organization, whether it be in investment capabilities, operational scale, the ability to invest in technology, that’s just not going away. And so there’s going to be consolidation, but it’s going to be two ways as we talked about in the past, it’s going to be inorganic put also organic, literally just money leaving to go to those firms that are performing better for the clients. And still the other reality of M&A within the sector, it’s hard. I mean, you really need a skill set to be successful at it. And that’s still, even if you do have those skills, it’s just art and you got to be really focused and be able to execute it. So I don’t think the strategic dynamic has changed quite frankly.
Glenn Schorr: I appreciate that. Thanks, Marty.
Operator: And that was our last question.
Marty Flanagan: Operator, thank you. And on behalf of Allison and myself, thank you very much for participating and thanks for the questions and we’ll talk with everybody very soon. Thank you.
Operator: Thank you. That does conclude today’s conference. Thank you all for participating. You may now disconnect.